Xavier Huillard: Good morning, everyone. Thanks for joining us for the Full Year Results of 2024. I'm with Christian Labeyrie, probably the last time that's for me. You have all the ExCo and the heads of divisions and Pierre Anjolras, also José María Castillo, who's there at the back of the room and will be available to answer your questions. So, first of all, a few images and image of the VINCI Autoroutes charging stations that are all equipped with 2,100 charging stations, 90% ultrafast, not just in rest areas, service areas, 21 are equipped. So, I think, we can say that we're the best equipped global network in charging stations just to encourage you to buy a new vehicle, especially once you bought the vehicle, you take the Ulis electric option, which allows you not only to identify all the charging stations on the highway network and also off the highway, making available, its power and availability allows you to pay with your badge and that is a tremendous ease of use. Next, Lisbon Airport, you'll recall that when we arrived in 2013, Lisbon had 15 million passengers that now handles 35 million last year, led the Portuguese Government to ask us, first and foremost, to look at the setting up of a new airport at Alcochete. You'll recall a former military firing range and to launch a major modernization program at the existing airport not to improve quality of service. Next photograph illustrates our highway strategy in Brazil. Two or three years ago, we acquired Entrevias, which had the concession for 570ks of highway in Brazil, the works for this first concession are ending and we have positioned ourselves on new tenders, and we successfully won the 30-year concession of the BR-040 highway on the Belo Horizonte Brasilia route for some 600 kilometers. What does that mean? It means that the highway toll concessions with traffic risk in Brazil are greater than Cofiroute in France and that of Escota. It's beginning to grow. Next, VINCI Energies is an ICT component Axians, which acquired a few months back for now one of the leaders, if not the leader in cloud and cybersecurity services in Germany and Switzerland. And I'll tell you more about Axians and VINCI Energies since the acquisition, that's about €4.5 billion in revenue, which is quite significant. Here an image of an open cycle gas power plant won by Cobra for the Irish Electricity Board, 300 megawatt. This type of equipment is vital in some geographies. So as to ensure stability and resilience of the electricity system with the growing injection of intermittent renewable sources, this is necessary to ensure stability. And of course, it's good news for Cobra because Cobra has genuine expertise in gas turbine, combined cycle or open cycle plants. It's built more than 10 gigawatts of such projects across the world. Lastly, VINCI Construction that confirms its fine breakthrough in Australia. This is a great contract to modernize and extend the wastewater treatment plant in Canberra. And lastly, if you have some savings, you know where to invest them. Pierre Anjolras, Virginie Leroy and Patrice Alba with our partner, Marzocco, inaugurated an impressive and highly technical prestige property complex in Monaco. There are five villas on the rooftops. Virginie can tell you the discount she will offer you, if you're interested in acquiring one of those properties. We're looking at hundreds of millions, but it's really not very much. 2024 performance, we can say those excellent quality, revenue and earnings are up, reaching record levels and this, despite the impact of the new tax on French motorways, shows that we fought long and hard in France and outside of France, that in spite of the tax, we were able to grow our net income. What's also important, we continue to expand internationally, which now accounts 58% of our business and over half our net earnings fully in line with our roadmap doesn't mean that we're neglecting France. We continue to grow faster internationally than in France. And the year was rich in new developments, particularly in concessions. Big cherry on the cake is, of course, free cash flow generation, coming in at an exceptional level, and the order book which was already very strong at the end of 2023, continued to grow significantly with 70% of orders coming from outside France. All this to say that, once again, we're extremely resilient for two main reasons. We have the right model for creating value in our three core businesses, concessions, energy and construction and equally important, we have the organizational management model fit for purpose making us highly committed, agile and responsible. Diving deeper into the business lines, VINCI Autoroutes, traffic was disrupted the beginning of the year, demonstrations by farmers and livestock breeders. It recovered in Q4, 2% growth versus Q4 in 2023, enabling us full year to return to exactly the same level as in 2023. Thanks in particular. And it hasn't been said thus far, owing to a strong growth in foreign traffic crossing France, either heading on holiday or for light or heavy vehicles. Since the pre-COVID period our foreign traffic has grown by 40%, that's quite extraordinary offsetting slight weakness for French traffic. VINCI Autoroutes revenue up 4.1%, but EBITDA, EBIT and net income are down because of the €284 million tax. We continue to challenge, but we have to pay in the meantime. And I'd stress once again the fact that roads are our country's vital networks, the case for most countries. 9 out of 10 trips are by road in France, will now be able to meet its commitments in terms of decarbonizing road transport if it doesn't make efforts to achieve net zero on its roads and highways. So as to accommodate electric mobility, including trucks, adapt the infrastructure and better car sharing, public transport on highways and intermodality between the various modes of transport. And of course all this we've begun, but the efforts that need to be undertaken are out of all proportion in terms of scale and CapEx compared to what we've already done. And it will all be – go well beyond the current frame of our concessions. 2050 is tomorrow, and it's our interest to address this even more so today. Otherwise, we'll miss the net zero target by 2050, but it can't be done within the current contractual framework. Moving to VINCI Airport, excellent year in the airport sector, particularly Q4, we confirmed that the world's leading private airport operator. 318 million passengers in 2024, up 8.5% over the previous year. Good traffic levels across all geographies, particularly for those of you who had a doubt on the two latest acquisitions, Budapest and Edinburgh acceleration in Asia with the marked resumption of traffic with China and, of course, it impacts our Japanese airports. EBITDA, VINCI Airports reach is an all-time high, close to €3.3 billion. Free cash flow is across the symbolic €1 billion mark, despite significant CapEx expenditure after the freeze brought about by COVID. We’re well on the way to becoming a net-zero emissions airport and VINCI Airports with its good results since 2020 has decided to revise upwards its ambition aiming for a two-thirds reduction in CO2 emissions by 2030, as compared with 2018, before it was 50%. Our highway development through VINCI Highways is confirmed internationally with the acquisition of a section of the Denver Beltway. It’s a concession of residual life, it will be 152 when it expires, we plan to extend the average lifetime of the portfolio so that I can reach the grand old age at 200 when it reaches maturity. That’s 80 years, and that’s fully consistent with part of our strategy, which is constantly to seek to increase the average residual duration of our long-term portfolio, be it highways or airport concessions. Lastly, a point I have already mentioned, in Brazil, VINCI airports pave the way, other group entities are following suit. VINCI airways taking over a cluster of airports around Salvador and around Manaus in the Amazon. So we’re comfortable with Brazil. In the meantime, Cobra arrived with excellent knowledge of Brazil. Cobra has done a lot over the past 20 years. In terms of PPP, high-voltage power lines, renewable power, so it made us comfortable entities to begin highway development in Brazil. Lastly, to end on VINCI Highways, Nicolas Notebaert and Pierre Anjolras inaugurate with the local authorities the first highway PPP in the Czech Republic, four years works, inaugurated a few weeks ago. We always felt that the Czech Republic would modernize its infrastructure, thanks in part to European money, but that wouldn’t last. And after that, quite naturally the Czech government would discover the model will allow them to continue to modernize their transport infrastructure, which economic growth accelerators is to use the PPP model blended financing between public and private finance. So, that was very important. Next, VINCI Energy, if you combine VINCI Energy and Cobra, that’s €27 billion, not far from what we achieved with VINCI Construction. We’re a global player probably the biggest, we’re a full suite player on businesses that are fully driven by the mega trends of energy transition and digital transformation. Through, first of all, VINCI Energy, which in 2024 turned in an excellent performance with business exceeding the symbolic threshold of €20 billion, growing faster internationally, which now accounts 59% of total VINCI Energy business. VINCI Energy also delivered record free cash flow in excess of €1.6 billion further increase in the EBIT margin up 20 basis points to 7.2%. Order intake up 6% and a fine year of M&A with 34 acquisitions, various in size, some bigger like Fernao that I mentioned, representing €740 million full year, that we find in 2025. And ICT that I mentioned earlier today, as I indicated, in information, communication technology, €4 billion revenue within the €20 billion of VINCI Energy businesses that have the wind in their sales. Cobra is riding the same favorable way benefiting from the surge in EPC engineering procurement construction projects, particularly high-voltage power lines, a lot in Brazil but also Australia. And Cobra benefits from the fact that Spain held up very well in 2024. Spain is far more dynamic than other European countries in Spain. At Cobra, we achieved plus 13% of our business with a large number of networks. Cobra is pretty much the equivalent of VINCI Energy in France. It’s the biggest in energy services in Spain, and of course, benefits from great momentum in Spain. Currently, the EBIT margin at Cobra up once again to 7.8%, up 30 basis points. That’s great. Order intake very good, topping the €10 billion mark, giving us excellent visibility. Just to end on Cobra, on a road map, for the development of renewable energy field 3.5 gigawatts in operation or under construction by the end of 2024, 248 megawatts in the U.S., Texas that should come on stream during the course of 2025 and 2026 and a set of projects under development, confirming our capacity to accumulate every year, 1.5 gigawatts and new fields. These peak gigawatts was for the period, you have the slides, giving you the details. The new VINCI Construction continues to deliver on its promises business, slightly up €32 billion, 56% from outside France. Outside France, there are places where we are suffering a bit such as Africa because of the destabilization of a number of African countries. Also another development that affects a number of geographies, including France. It’s the phasing of major projects, for example, in France, where only just beginning Line 15. That’s a line that we won just over a year, year and a half ago on design and build, whereas we ended the major sections of the Grand Paris Express. So, we’re in a dip in terms of revenue generation, which will, of course, change as the project completes on the ground. And that, of course, explains that there are a number of divisions at VINCI Construction that are slightly weaker in terms of growth than others, and that’s due to the phasing of major projects. But road, hydraulic, engineering and rail business is faring particularly well in France, notably. VINCI Construction continues to implement it’s step-by-step growth strategy of the operating margin, reaching 4.1%. Several bolt-on acquisitions. In North America, order intake up 10%, thanks in large part to the award of an interesting contract of VINCI Construction major project with our U.S. partner, Walsh, for a design and build contract in Chicago, transit contract. We finalized the acquisition of FM Conway in the UK road and engineering sector with sales of €700 million annually. That was finalized and settled. At the end of January, VINCI Construction, the keyword is selectivity. We are not at all aiming for volume or market share. We want to continue to develop operational excellence and performance. And there is no doubt that the quality and volume of our order books gives us the peace of mind we need to continue to be extremely selective. Finally, VINCI Real Estate is still going through a very serious crisis, a few rays of hope bookings improved in 2024 over 2023, driven by bulk sales to social landlords, but overall, the country is well below the housing stock that we need collectively and which was being implemented before the crisis. Glimmer of hope is that this government and the last government are now, I believe, fully aware of the social gravity of this situation and the Minister for Housing, who is a first-rate professional who knows the construction, Valérie Létard. Final point, the adjustment efforts at VINCI Real Estate over the past two, three years are beginning to bear fruit, recurring operating income has turned slightly positive in 2024. Over to Christian Labeyrie, and I will come back later for the 2025 guidance.
Christian Labeyrie: Yes. Thank you very much Xavier. Now there are lots of numbers for me to share. I won’t comment on all of them now as it comes to revenue, basically in line with what Xavier just shared, overall growth, 4%, about 3% organic. That is differentiated depending on business line. Concessions and Energy are up about 5% on an organic base, Construction, 1%. And VINCI Real Estate actually went down 7% but the situation is looking up a little bit at the end of the year with 4% on revenue up at the final quarter. Scope variations account for about 1% of growth. Major transactions are Edinburgh, that VINCI Airport purchased a more than 50% stake in that's full year revenue, about more than – a little bit more than €200 million. In the second half, Edinburgh was consolidated from the 1st of July onwards. Acquisitions for VINCI Energies in 2023 for full year and 2024, which is a part year consolidation, account for an extra €300 million in revenue roughly and VINCI Construction, €100-or-so million in large part due to transactions in Canada and in America. On the next slide, you can see a comparison between France and our International business. You can see that we're at plus 6% internationally with plus 2% in France. This goes to explain why the share of International revenue is pushing towards 58%. It's going up every year, fully in line with the strategy that we are – that we implemented a couple of – well, a couple of decades ago. ForEx didn't have much of an impact this year with the depreciation – sorry, the sterling going up was offset by the euro versus other currencies. It is important to note that the major countries for VINCI, beyond France, which accounts for €30 billion are the UK, the second largest, €6.7 billion that is likely to increase in 2025 with FM Conway. Germany accounts for €5.6 billion. Once again, that's likely to increase in the future with now for the year in 2025, Spain for €3.8 billion, the United States, €3.3 billion and if you add Canada, which is not yet the 51st state of the U.S., €5.5-or-so billion. On the next slide, you can see EBIT operating income for ordinary activities, €9 billion, up about 8%, so better than for revenue. And that is despite the new long distance motorway tax if you offset for that growth would have actually been higher than 10%. VINCI Autoroute does have a drop in contribution but only a couple of €100 million, so to speak. So less than the impact of the tax itself which means that VINCI Autoroute has been able to offset some of that tax with other optimization. VINCI Airport is significantly up in terms of contribution, more than €440 million, that is a margin of more than 50% of revenue. So it's now higher than VINCI Autoroute when it comes to percentage of revenue. This is due to higher traffic volumes, of course, an increase in revenue per passenger, tight control of operating costs and the impact of the integration of Edinburgh. Energy and Construction divisions, as Xavier said, prove their contribution and margins that are up for both 7.2%, Cobra's at 7.8%, VINCI Construction is up 4.1%. VINCI Real Estate is down €57 million. This is entirely due to nonrecurring charges, such as restructuring costs and depreciation of stock in large part for nonresidential holdings if you compensate for that, we're actually slightly back in the black around 2%. On the next slide, you can see other components of the income statement. Some main takeaways from this, the increase in revenue from airports such as Kansai. So this is net income attributable to owners of the parent, about €80 million from Kansai, also an increase of the contribution of DEME. It's a Belgian company that's become one of the world leaders in the installation of offshore wind farms. Also an important item on the income statement is the increase in financial costs. I believe I already touched on this, about €300 million extra in financial costs. More than half of that is due to a product that we booked in 2023, when we restructured the acquisition debt related to Gatwick. And the rest is related to acquisitions undertaken in 2024 including the consolidation of the financial debt related to the newly acquired companies. The tax comes in at more – tax comes in at more than €2 billion, a 29% effective rate. I'd like to remind you that we cannot write off the motorway tax. It should have been nearer 27%, 28%. Out of that €2 billion, France accounts for about half, minority stakes are what we pay out to our partners, such as to Gatwick, GIP and Edinburgh. Overall, €4.4 billion, up 3%, excluding the motorway tax, it would have been higher than €5 billion, which would have been a more than 10% increase versus 2023. Another very important thing to note is that for the very first time, profit from outside of France is higher than 50%. In fact, it's now 53%. On the next slide, we have changes in debt. It's up about €4 billion across the year. Free cash flow, as Xavier discussed, is at a historic high €6.8 billion in FCF, in large part, explained by EBITDA being up €12.7 billion, a €700 million increase despite those €200-so million of extra taxes on French motorways. It's also important to note the way it's spread across our business lines. About 60% of the total is generated by our Concessions business. Within that, we have motorways accounting for 60%. So 60% to 60%, about 35%, VINCI Airports and other Concessions around 40%. Furthermore, VINCI Energy and Cobra IS account for 20% of EBITDA and Construction and Holdings, VINCI Real Estate about 20%. So basically, I'd like it to take away from this a good spread across our business lines, which is not something that just randomly happened. This is due to a consistent strategy that's been applied for years now. Also important to note, the share of EBITDA generated outside of France, which is about 50% of the total. Another factor explaining our good cash flow is change in WCR and current provisions, which had a positive impact on the financial year, €2.3 billion there. This is something that we have seen in the past once during COVID in 2020, but I would like to remind you that interest rates were negative at the time. So it was a little bit harder to get clients to pay up on their invoices because they just wanted to get rid of the money as quick as they could at the time. That money isn't burning a hole in their pockets quite so much these days. But despite that, we were able to achieve this excellent FCF performance with WCR and provisions, which account for €2.3 billion. It's now been five years that VINCI has been able to improve its WCR and provisions year-on-year. As a reminder, since 2020, we've been able to generate about €9 billion in cash due to that. Some of you, especially analysts feared maybe a backlash period after COVID especially a spike in interest rates. It has to be said at this point that, that has not happened. However, let's remain modest, given the size of the group, given the variety of our businesses, the diversity in our geographical locations and the diversity in the types of projects that we undertake, including the contractual forms and the types of projects. So the way regulations can apply, sometimes we get paid throughout the contract before or after. It's very difficult to establish reliable WCR forecast more than a few months out, if not a few weeks out, in fact, in December, we generated more than 35% of our FCF for the entire year. So that's what I can share on that item. Beyond that, EBITDA and WCR, an important takeaway is the increase in CapEx about €5 billion, €4.9 billion exactly. That's a €1.1 billion increase in versus 2024 versus 2023, after that €1 billion increase. Cobra accounts for most of it. They doubled their CapEx, €800 million to €1.6 billion, in large part due to renewables, and EHV lines. VINCI Airport also increased its CapEx by about €150 million. Finally, of course, we have acquisitions. We spent about €7 billion, including the debt carried by the acquired companies when we consolidate them. As is the case with Edinburgh, we consolidated 100% of their debt, and you'll see that in that €7 billion. 2023, however, we saw a low year in investment. This is a big year for investment. And all of that enables us to continue to diversify into different business lines and to extend the average maturity date of our contracts as we continue to prepare for the end of ASF and Cofiroute, between 2032 and 2036. I'm not going to come back to some of the major transactions because Xavier already mentioned them, including the 30-year extension of Aerodome in Dominican Republic, including Edinburgh and Budapest that we've already discussed. The Denver Ring Road for VINCI Highways, VINCI Energy has 34 new companies joining us, and VINCI Construction has strengthened its position in North America. Also, we've paid back a lot to our shareholders. If you include dividends paid to our shareholders and net share buybacks offset for increasing capital. It's a large part of overall cash flow in the year that was given back to our shareholders. On top of that, we also have dividends that were paid out to our minority partners for Gatwick and Edinburgh, especially, but also for OMA. This year, we’ve releveraged a number of companies, including those, and that was made possible, thanks to the high quality of the assets that allowed us to put non-recourse debt with those companies. On the next slide, you can see cash flow over months in a year. As you can see, very flat in the first part of the year, and it starts to pick up from the summer onwards. And then that spectacular spike in the final months of the year. The final months or even weeks make it very difficult to forecast because we have huge amounts of income as for Cobra and for VINCI major products and that can really shift depending on whether we get paid in December or January. If we look at the longer-term outlook, this is on the next slide again. We can see that VINCI has overcome a number of thresholds for €5 billion, €6 billion, €7 billion. Now I’m not going to say that we’re going to keep going up all the way to €10 million, but I felt that it was interesting to show you the points at which we overcame those particular thresholds, especially as they are good in each case. On the next slide, we have yes, consolidated balance sheet. Our capital employed is about €60 billion, €48 billion for Construction, €25 billion for Airports, €18 billion for motorways. So we’re more in airports than in motorways these days, because we’re dealing with the capital from the motorways debt at €20 billion, as I discussed, equity €34 billion. We’re now – it should be noted that international operations account about 62% of capital employed, the result of our strategy over the years. This is versus 55% at the end of last year. Just a quick reminder, finally, of our sound financial policy. This is the same as we’ve had for years. Cash, €13 billion is relatively stable. Available cash, managed cash, part of which is centralized and some of it is not due to the diversity of our presence around the world. We don’t centralize our cash in real time. Some credit lines have been reduced because we didn’t need to mobilize equity from our banking partners. So that’s been brought down to about €6.5 billion, which is still quite significant. And our rating has been confirmed by S&P and Moody’s, and I think that will be the case still given the results that we’re presenting today and for 2025. On the next slide, this is just to say that we’ve been very active across the Board, when it comes to raising funds and renewing our debt. This is not just true of the corporate level. We raised €1.2 billion at corporate level, not very visible because quite a lot of private investment, but our Concession colleagues were also extremely active throughout the year. As we said, we raised debt for Gatwick for Edinburgh on the same year as the acquisition in fact and Aerodom as well. And that’s not easy because raising €700 million Dominican Republic is not easy. Overall, €4 billion in new money that was raised in 2024 and a dividend that was increased for Edinburgh and Gatwick. We have a spread of debt across our currencies. We are seeing euros falling off a little bit versus sterling and dollars. Cost of debt is slightly up in 2024 across the whole year, 4.9% versus 4.6%. But we can see the rates change, and we’re starting to see an inflection point recently in a number of currencies, including the euro, which is very important, given the amount of our debt that is in euros. We hope that this will continue into 2025 and that we will see an improvement there. That’s not for sure with dollars, tariffs might increase rates again and slowdown this trend. But for the time being, the outlook is good.
Xavier Huillard: Thank you, Christian. Rapidly, the way we’re looking at 2025. We all knowthat the macro situation is pretty mixed. On the one hand, the European economy, particularly French that is weak, where attentive and the U.S. economy dynamic, sometimes euphoric at the very least exuberant that encourages to be prudent and confident, but we’re fully confident because our order books, as mentioned, at length give us great visibility and because we’re convinced that we’re really at the heart of the major global challenges of this plan. And if we review our businesses on highway traffic, you see that last year, there was a slight positive inflection towards the end of the year. I just see the sign here that we’ve now return to our cruising speed. That’s to say, traffic levels that are correlated with major macroeconomic indicators, GDP and barring labor unrest events such as those experienced last year with the farmers, we expect to see slight growth of our traffic levels in 2025. VINCI Airports should continue to grow, but to a lesser extent in 2024, so to confirm the fact that we’re now firmly above the pre-COVID situation in the Construction business, order books are at historic levels. VINCI Energy is expected to post growth of the same order as last year, boosted by the impact of acquisitions in 2024, plus a bit of organic growth of VINCI Energy at the very least should confirm its excellent operating margin. Cobra in line with what was stated at the Capital Markets Day just over a year ago is expected to reach revenue at least on a par with €7.5 billion, consolidate the high level of margin achieved in 2024. In addition, the total renewable energy capacity under Construction or in Operation will be around 5 gigawatt by the end of 2025. That is 1.5 gigawatt more than what we had at the end of 2024. VINCI Construction, the goal is to continue to improve the margin without seeking growth in particular. Revenue will be close to 2024, including FM Conway, the acquisition that I mentioned earlier. All in all, for VINCI, we expect further growth in revenue and net profit before taking account exceptional events today were systematically prudent. And of course, before the impact of any increase in taxation in the finance bill that’s just whether there no confidence vote in Parliament on the basis of the excellent performance in 2024, the outstanding free cash flow, the Board of Directors will propose at the next AGM, a dividend of €4.75 per share, of which €1.05 already paid as an interim dividend. To conclude, I’d like to end with two slides as I did last year. The first is an update of the slide presented a year ago. Why 2006? 2006 was the year ASF and Escota joined the group, since then or constant strategy pretty straightforward has been to offset as far as possible. The future loss of EBITDA brought about by the progressive end of Motorway Concessions and through proactive developments in Airports and Energy. You can see that we’re not yet at the end of the road. The end of our largest highway Concession ASF is set for 2036, in over 10 years, unless we can extend it between now and then it’s going to be increasingly difficult. There are some interesting developments during those 18 years. EBITDA has grown by €0.7 billion. EBITDA in Construction has risen to €2 billion, but above all, activities in Airports, other Concessions and Energy activities that we’re really focused on producing a combined EBITDA in 2024, 20% higher than that of French auto routes, whilst recognizing that this compares maybe the fact the French auto routes have EBITDA down because of the tax on long distance transport infrastructure had not been case, we’d have been up 13%. Other interesting development, as Christian indicated, these French highways accounted for 60% of our EBITDA in 2006, that now reaches 37% today. And of course, this gradual transformation is set to continue. We’re investing year in, year out to create future financial performance and this is what will improve this slide for next time. This is summarized on the last slide here. Operating cash flow €30.7 billion. What have we done with it? €11.8 million in CapEx to improve the machine as it exists. And within the €11.8 million, there are about €4.5 million, 2022, 2023, 2024, about €4.5 million in France. So we remain very present and invested in France. The balance €10.7 billion for acquisitions. That's to say, prepare future performance and €9.5 billion in dividends and share buybacks. So as to legitimately serve our shareholders on the €30.7 billion. These three big buckets of equivalent size, about €10 billion, one to maintain the machine, one to prepare future performance and one bit to make our – keep our shareholders happy. And all that is done with an increase of €1.3 billion increase in the group's debt releveraging. And this debt is at very reasonable levels as compared to EBITDA. All that, everything we've explained with Christian is the result of our all-round performance goal, which aims to combine over the long time. the economic, social, environmental success serving our purpose, which is quite simply to work for a more sustainable world. Thank you for your patience. And were available, including ExCo members available to take all your questions.
A - Xavier Huillard: Elodie [JPMorgan] has a question for us. If we could get a microphone to him.
Elodie Rall: Thank you very much and congratulations for this final presentation, personally, Xavier. I'd like to start with maybe a hot topic right now. We've got politicians pushing through a budget through Parliament right now in France. Do you think that the increase in taxes is likely to be temporary – and furthermore, this is maybe a question for the Board, but everyone is wondering what you will do when it comes to the dividend in 2025? I know that you're probably going to answer that, that will be seen in 2025, but we'd like to get some visibility. Are you expecting payout policy to be a little bit more ambitious to protect the dividend and to offset the tax? That's my first question.
Xavier Huillard: Well, I guess we need to hire you Elodie, you understand everything immediately. As to the temporary tax, honestly, I can't answer that. It's quite a simple equation really when you look at it, that tax only exists because this country hasn't been doing anything to keep it spending under control for decades. If we really start to address the spending issue, then we can be confident that the tax is going to remain temporary. However, if nothing is done when it comes to public spending, then the situation is going to be the same next year as it was this year, meaning that to square the books, we have to take money out of the pockets of people who do have some in those pockets indeed, as we're seeing through this tax increase. So I couldn't answer that. I tend to prefer to be optimistic. It's my job to be optimistic. So I believe politicians. I believe that most of them maybe not all of them, but most of them, the important politicians have understood that we have reached a breaking point, and we're going to start to see an eviction effect that would actually reduce tax income. That's not our case, but it's not unlikely that some people might start to, well, look around and think that, well, if they need to invest in a new industrial unit, maybe building it in a country that is ridding them with taxes, isn't the best idea? This is a theory from a major economist, there comes a point where actually raising taxes lowers tax income, and I think that we might be at that point. So I'm betting on politicians keeping this temporary. How about the dividend? I couldn't answer the dividend policy.
Elodie Rall: We did the math payout this year, 53%, 56%?
Xavier Huillard: Yes. No, excuse me. 56% and something. So we've still got some room to manouver. We've never reduced our dividend, except during COVID.
Elodie Rall: Okay. So still on current affairs and politics, the infrastructure tax is actually quite good for you as we saw on the slide. Well, that's not how we pitch it , but yes. So we're at about 50%, including the tax, says Christian. What about potential litigation and getting your money back? Nicolas?
Nicolas Notebaert: Good morning, everyone. This is going to go on a lot. I think that there's not much point in updating you at every step, we're still looking at a year or 1.5 years, it might even get bumped up to European level. We're not going to have updates for you any time soon. We will pay it and then try to see what we can do about it. There's no short-term solution that I can give you or short-term information. Courts take time. We also have justice turn slowly, so to speak.
Elodie Rall: A question about America. Because Xavier says this might be the last question. So U.S. development, Denver you also have ambitions for VINCI Energy in the U.S. As it stands now, are you looking at other bids, especially for motorways? And is the VINCI Energy strategy likely to be jeopardized by the Trump administration.
Xavier Huillard: As to your final question, no, I don't believe it would, unless something completely unexpected were to happen and investments by non-American people might be taxed in a particular way that would dissuade them from investing. But honestly, that will be a fantastic bullet in their own foot. And I don't think that's going to happen. And on top of that, in America, especially for VINCI Energy, we're kind of flying under the radar. We are a pretty small fry over there. If they start taxing foreign investment when they buy companies in America that have €100 million in revenue, honestly, we're a long way away from that. I'm not particularly concerned about that. I can elaborate and then Arnaud can follow up. And as I've said already a number of times, our American strategy is to take our time. And it's always been to start with legacy VINCI Energy businesses. So distribution, energy distribution. It took a little bit longer than we expected to integrate that company, but now we're ready to go. And we already had €100 million or so in the kind of actinium world, by that, I mean, services to the industrial world. A number of acquisitions that will probably be bolt-ons that will help build up that actinium business for VINCI Energy. Another business line that you didn't mention and that is being developed by José María and by Cobra is renewables. Of course, I discussed this earlier. I can't remember the exact number. We're at about 250 megawatts that were not on our radar at all a year ago, two years ago during a strategic seminar for the Board, we realized that we really needed to lean into renewables in the U.S. And with their customary agility, they set up in America Cobra did and we're now at 250 megawatts that will enter production in 2025, 2026. And that will meet the huge demand from data centers and AI. Beyond that for concessions, we're just waiting for the time to be right for managed lanes. This is the same as I've been saying for years already now. We don't want to just spend money willy-nilly. It needs to be the right level of technicity for us, it needs to be the right size and it needs to be in a state that we feel comfortable in either directly or through a partner. Nothing to add. Construction maybe. For airports, we have Mexico and Dominican Republic kind of U.S. proxy. So American money, dollars that Christian presented, we raised 900 million in Dominican Republic for mainly American traffic in Mexico we're seeing growth as well. So even if we don't have any direct full American traffic in America we have China, we have Japan and a lot of American traffic in Costa Rica for example as well.
Arnaud Palliez: I haven’t let you out to dry there. I see you’ve been confiscated – the microphone’s been confiscated from you, anyway. Okay. Make sure that the microphones get handed around. Sven Edelfelt for Oddo.
Sven Edelfelt: Sven Edelfelt for Oddo. Once again, two questions. First question is related to VINCI Construction. It’s been a little bit more volatile in 2024. It feels to me that this is going to continue to be the case in 2025, especially if you think about what’s going on in Africa and with French local authorities. Any reassuring words on that and any more information? That was my first question. The second question is related to Ukraine. Now this is not a country where you have much of a presence as far as I’m aware. If the war were to end, would you consider going there? I imagine so. And what could that mean for the group a couple of years out? Thank you.
Xavier Huillard: Pierre and/or Patrick.
Pierre Anjolras: Indeed, we have seen a drop off in business in Africa. This is in large part due to the political occurrences in 2023 that was kind of expected and honestly it’s just part of the natural cycle of doing business in Africa. As to what you said on France, as you know, public works in France are heavily impacted by local election cycles in France. We’re currently at the kind of height of the wave with elections in 2026. So as we all know, that’s going to drop off in 2026 and 2027. We’ve experienced this in the past. We know how to deal with this. We know how to adapt to it. We’ve rode out election cycles in the past. Our business model is built to handle that. And as Xavier said, construction isn’t about volume and isn’t about revenue. So we are level-headed and confident in our ability to handle that. As to Ukraine, we have no presence in construction or in Energy, just looking at Arnaud, I don’t believe so. We worked there in the past, we built the Chernobyl arch, which is a technical feat in and of itself. So when Ukraine needs to rebuild, they have excellent construction companies in Ukraine who can do the job. If there is a need for technical expertise or maybe for major projects, then we can make ourselves available, but the Ukranians have everything they need to rebuild their own country. So we’re not saying we’ll never go there, but we’d be very selective depending on the added value that we can provide.
Arnaud Palliez: Patrick Roselle for Goldman Sachs.
Patrick Roselle: Before my question, I wanted to just state my admiration for the industrial project that you have been able to create over the last 20 years and that you quite modestly described at the end of your presentation. That being said, I do have a number of questions. The first one is on that very same slide, you show a capital employed over the last three years. And there are indeed a couple of billion that went into buybacks, basically all of it in 2024. Given the current valuation of the group as it stands, can we expect more structural share buybacks in terms of capital employed in the coming years?
Xavier Huillard: Okay. Christian Labeyrie, you need to answer this.
Christian Labeyrie: We don’t see much reason to stop. And that being said, we remain aware that the share buyback programs help us get back to the level of outstanding shares that we had a couple of years ago. That creeped up over time due to paying out dividends in shares during COVID and also the dilutive effect of all of our employee shareholder programs and performance shares, which explain our performance as well. By the way, this isn’t just money that we’re handing out because we like the look of them. And this is money that actually creates performance. That’s a very positive feedback loop. So yes, it will depend on the environment and what we can do, but I don’t see any reason to not remain active. We’re not really back to where we’d like to be. If we apply what Xavier said versus the low point of free float, 2025 is likely to be pretty similar to 2024 from that perspective, 2026 is harder to predict, of course.
Patrick Roselle: If I may take a second question, what is right now your exposure to data centers and AIs and things like that? Is that a growth driver for you in regions, you’re less present in the U.S. maybe, but maybe more CapEx going into that in Europe and indirect exposure as well, things like grids, power generation, et cetera?
Xavier Huillard: Well, there’s a lot to that question. What we’re doing in AI, I can answer to that. I’m not sure we have the time to get into the nitty gritty of that. But we feel like we’re pretty on the bore. We really took up AI probably quicker than a lot of our competitors with a good organization. We’ve got Leonard. And our approach is pretty good for us, which is to identify use cases in the field. We try to find things that will increase productivity, increase the ability of our people to work well. They’re the ones who give us the use cases, and then we provide training on what AI is, and we support them in generating their AI-based product where it can be generative or non-generative AI, based on those use cases and everything is coordinated within Leonard, which is handled by Bruno Daunay. And honestly, it’s quite impressive. I think we’ve got 100 or so use cases that are currently being developed across the group. So that is to answer your question of how we’re going about handling this AI revolution very pragmatically and I think that’s the right approach to take. We don’t have armies of data scientists that we’ve hired and generative AI specialists hanging out somewhere in Corporate HQ. No, we’re starting from the field. From a business perspective now, let’s be reasonable. Data centers where we make them. We build them, VINCI Energy makes data centers and has for years in Singapore. Cobra, has been working on data centers for years in Spain, et cetera, et cetera. So we do the electromechanical work for data centers. We can even provide turnkey solutions for the tech plus the electromechanical work, and we’ve been able to do that for years. Honestly, it’s not rocket science, it isn’t. So this dream that somehow all of this is a magic word that requires very high-end expertise. It’s not the case. Yes. It takes a lot of energy. It takes a lot of hot air and cold air to cool the cards that produce AI, but it’s not rocket science. And I think that Jose Maria agrees with me on that. We recently visited construction site for a data center in Spain, and it’s actually kind of core business for us. The third thing I’d like to say is that the key to run a data center is be able to power it. So everything that we do in renewables in some regions, especially Texas means that we have buyers, off-takers for our energy for people who need low carbon energy to run their data centers. So we’re kind of beating around the bush. We feel that we’re not the right person to invest in data centers ourselves. And I can explain why, but it might take a while. So we’re not going to invest in data centers, maybe in five years or 10 years, but for the time being, that’s not what we’re about. We’re not here to invest in data centers for the long-term like we might do for concessions. However, we produce renewables in Texas or in Spain. We can do the construction work, the engineering work, we can provide turnkey solutions. So it’s good for our pipeline. If my colleagues want to supplement on hesitate. Arnaud?
Arnaud Palliez: Yes, just to add that the data centers come in all sizes, were people looking at they very big, consume a lot of energy. So that’s a big investment. They come in all sizes, first thing. Second thing, there are so many projects that were not sure to build the mall. Fortnight ago, there was a big scale. We announced that there were solutions that consume less energy for AI. If there are a few of that would be great for data center, I mean it's a building has the specificity today. It's not rocket science, but you need how to do it. It's not open to anyone. You need a building, you need the land, you need energy and a permit in the race to data center. It's down to the sovereignty, who has the land access to power and [indiscernible] access and their operators are going all out. Jose Maria, do you want to add anything about the fact that data centers are not rocket science?
José María Castillo: Yes. Data center company in Spain by far. And in the last 20 years, we are now building, I don't know, between six to eight in data centers in Spain, the biggest one for Amazon that we have investments with Equinix with other pounds, the same in Portugal, the same in German, but we did this in the last 10 years. It's true that now there is a bubble around of these data centers. People try to sell their interests, but this is not rocket science. We are not involved in the investments. We're only doing VINCI Energy, what we know. And there is going to be more and more and it's true that this push the energy demand, this push the grid, this push everything, and we are much more exposed to this that other company in the world, in my opinion, VINCI with the energy arm. But we can sell or not this growth, what we have. Most of them is due to this excess of demand of build these facilities are on grid, for example, but is what it is.
Xavier Huillard: But for example, Texas, the Texas projects that I mentioned, one of the two already has an off-take. We wanted to limit the amount of power at 80% of the potential as precaution and the off-take as one of the big data centers.
Unidentified Analyst: Right. Yes. CIC. Two questions. The first on the French auto road concessions. Could you share with us the amount of CapEx, you'll have to invest on ASF, Cofiroute, Escota through the end of concession contract to return assets in good shape to the state? Is there a risk a surprise CapEx because we see ART looking at this one closely and carefully. First question on the penultimate slide, you showed us the fact that you plan to offset the end of concession contracts in France with EBITDA from other concessions. Do you think you're going to succeed in these strategies that in 2036 EBITDA from other concession will offset the end of French order route concessions? Do you think you'll be able to offset the contribution in earnings and in value and value, yes? But 37% of EBITDA continues to increase. If you could give us some color on that.
Christian Labeyrie: I'll answer the second part, and Nicolas will address the first part of your question. Given what's been done since 2006. Yes, I'm confident, it's easy for me to say that. It will offset, okay, let's be clear, that's to say the day, for example, ASF expires. Well, of course, it will be reflected in the EBITDA. There's a dip. What's important is the scale of the dip should be modest as compared to the sum of EBITDA that will generate at that date to make sure, notably, even if we have the possibility that it's not even reflected in the dividend that all that should happen seamlessly. I think there's still a lot to be done on our three main issues of creating EBITDA of the long-term airports, highways and renewable energy or record during COVID people were asking whether we were right to expand in airports, because it was the end of aviation and Greta was going to get us all to stop flying. We never really believed in that, we made acquisitions since then. And have other opportunities going forward to continue to grow our Airport business. Just to conclude on this. Well, a few people mention is that the needs brought about by the fight against global warming CapEx requirements far in excess of the state's ability to fund on the production transmission of electrical power. A number of countries are aware of that. Emerging markets – well, they've already emerged, but they have big needs like Brazil with high-voltage power lines, PPP in Brazil through Cobra for 20 years, have we kept everything Cobra one in PPP for high-voltage lines. We have over 20,000 kilometers of high-voltage power lines in Brazil, incredible. That's half the French network grid to give you an idea, but countries, rich countries, Australia going down the same route. We're finalizing through Cobra a PPP, not alone, but with a Spanish partner of some A$5 billion in design and build and funding in the form of PPP. High-voltage power line from renewable bringing it from the center to the consumers. So the PPP model, Concessions model. And we've been very comfortable with it for 125 years, and we've used considerably on autoroutes and airports will see a further margin free expansion with everything brought about through fighting global warming. I have no doubt that we'll find the material to meet that equation by 2035. On CapEx, yes. Well, you need to bear in mind because in certain sums that are done, they forget the state of the situation. VINCI Autoroutes in 2024, €750 million in CapEx. We're doing a lot, will continue to do, and that's as it should be. Their contracts, we maintain. There's no debate on the good state of repair of Autoroutes in France, everyone recognizes that. And globally, there aren't many countries where that's the case. And then, of course, we comply with our contracts. It's normal that the state make sure we'll continue to do our job properly as concession. We're already done. That is the Autoroutes kept in a good state of repair. That's through the Transport Ministry who has the people competent who've been following us for years and never complained so they're doing their job. So obviously, if we add up the numbers, VINCI Autoroutes about 50%, French €750 million. Those are high numbers. over six, seven years. It's totally planned in our business plans, our contracts. We apply our contracts. No one has never criticized us for not comply with our contract. We plan to continue, of course, remove the pot holes, et cetera. So there are contractual provisions that are normal through the engineering services who do that properly in all our concession business. We're happy to submit to checks for that. No one has any doubt that we will deliver in good state as planned all these structures. And it's a network in France that it's in the best state of repair. And it's true of all concessions in the world. We regularly have concessions that come to an end. We've already returned in good state. Those projects, €750 million this year. That's in the figures given to you earlier in France, so works generating jobs growth in the country.
Arnaud Palliez: [Operator Instructions] No questions on the French line. Over to the English line, please. [Operator Instructions] The first question comes from the line of Graham Hunt, calling from Jefferies. Please go ahead.
Graham Hunt: Yes. Thank you very much for the questions. Just two from me. First, on the capital allocation slide, the last slide of your presentation. I just wondered about the sort of, I suppose the bit that’s missing, which is potentially on disposal side. How are you thinking about that at the moment? And is that sort of something that’s still traditionally VINCI has always been a buy-and-hold type strategy or at least recently, is that how you see things going forward just on that? And then second question, relate to your confident investments in energy and energy efficiency. Do you – are you concerned that the markets that you’re in are starting to move away from energy efficiency as a priority. Is that something that you are seeing and maybe need to protect against a little bit in the portfolio? Thanks.
Xavier Huillard: Disposals, we do some a bit under the radar because their companies are kind of modest scale. Personally, I don’t see the point of doing disposals for the sake of disposals and activities for which we continue to be convinced that we’re capable of extracting value. When time will come for some of these activities, will have a sense that we come to the optimum of the value, then why not imagine disposing of them but to dispose because we’re continuing the story through buildup and improved performance of these assets. Well, we need to keep them. We might as well keep the value for 100%. No point in doing disposals for the sake of it. It’s not a dogma. We’re capable of selling. We only sell when we feel that others are better placed from to tease out the additional value. And thus far for the time being, we were well advised to keep the bulk of our assets, the most significant in the terms of capital. As you’ve seen in our performance, we’ve been able to continue to extract value from being more efficient in the way we manage them, but also by generating network effects on VINCI Airports. There’s a real network impact of VINCI Airports. That is when you buy a new airport, it’s bought on its own merits, but it brings value to the other airports because aircraft move from one airport to another. So remove one airport from VINCI Airports, it destroys, it can create value as compared to the price paid. When we look at the asset itself, it can destroy value overall. All in all, we believe that our growth in VINCI Airports isn’t over. There will be further opportunities that they’ll be bought on their own merits and what’s more they’ll produce additional value because of the network effect. So once again, it’s not a dogma. We’re fully capable of disposing and we do it from time to time with VINCI Energies, sometimes VINCI Construction as long as we feel capable of teasing out more value. We keep them on – no, let’s not be polluted by the debate. Okay. They’re going to be a – but over and above the statements. Not everyone today thinks that full decarbonization of business, maybe not 2050, 2060. I mean, it’s something that applies to all. We’re all in agreement that if we don’t do it, our children above all our grandchildren, will hang us. Even in the U.S., where we’re hearing things that we’re going through a period of regression. Look at the states, look at Pierre. No, it wasn’t at this session. It was [indiscernible]. You can’t get more Republican than Texas [ph]. There aren’t I mean oil producers in Texas, that’s where we developed our first renewable energy contracts with huge potential brought about by the fact that there are huge needs and Texas is an electricity island collected nowhere. We need additional production and storage capability with a base load that can serve the data centers. So the U.S. isn’t that cut and dry, there may be kind of federal stances that are of a certain tone. There are lots of places in the U.S. with the momentum in favor of renewal power continues as vigorously as previously.
Arnaud Palliez: Right, Elodie. Luis Prieto, Kepler.
Luis Prieto: Thanks a lot for taking my questions. I had two if I could. The first one is the following. After various developments globally such as the [indiscernible] concession termination or the tax on revenue in France that we’ve discussed. Would you say the toll road assets are slightly less attractive than a few years ago? In other words, are you at all concerned about generally less friendly grantors and/or politicians? And the second question, I’d like to come back to data centers. We have seen ACS buying Dornan, for example, to try to capitalize on the data center opportunity in the old continent. Would you need to take similar steps? Thank you.
Xavier Huillard: So toll roads are attractive today. Yes. Well, in France, there aren’t that many. So no questions about it. José, do you want to tell us a bit about? No.
José María Castillo: We saw it in Denver, but also in France, the toll at a reasonable and dynamic level makes it possible to limit the question. But in the French debate after the end of current concessions, the share of the foreign contributions, very significant. So in France, what Xavier who last was the share of truck traffic and traffic of tourist storage and light vehicles crossing France is growing and very significant. You got the debate on the future, there’s a dynamic of using the network by international traffic, given the budgetary concept is putting the future and the – on the mobility and then concessions worldwide are attractive because road traffic remains the first mode of transportation worldwide that has become low carbon through electrification doesn’t bring about a drop in mobility worldwide. So mobility, air mobility, auto route remains an attractive mode of transport that very often exceeds GDP for airports, highly correlated to GDP for auto routes.
Christian Labeyrie: Let me answer what I kind of understood from that. It’s kind of similar to what we discussed earlier. The key for a data center is a couple of things. First of all, you need to get those NVIDIA chips. That’s not really our job to acquire those chips. Then you need to make the box that they go in. We can do that, and you need to connect that to everything else. We do that. The bottleneck in this is what Pierre Anjolras just discussed is to get authorization to do it and also to have access to the energy. Seeing as data center operators are still right now trying to lower their carbon emissions. They want to buy low carbon energy. In the U.S., there are even people who think that they could renovate 3-mile Island. There are people who want to order 4 gigawatts of new nuclear power and all of that would plug right into their data centers. That just goes to show that they've understood that data centers need renewable energy. So if there is any bottleneck, its industrial capacity – industrial capacity to develop and produce that renewable energy. And it also needs to happen in a place that can actually get that energy from the production site to the data center because you need to be sure that the grid will actually be able to handle that ended the way to the data center, the real key, that's where the real bottleneck is.
Luis Prieto: Thank you so much.
Arnaud Palliez: The next question comes from the line of Gregor Kuglitsch calling from UBS. Please go ahead.
Gregor Kuglitsch: Hi. Thank you for taking my question. So my first question to you is last year you spent €4.9 billion on CapEx in total, appreciates lots in there. But can you give us a sense where you see that trending in 2025 and perhaps beyond? And then maybe within that, and those are maybe two sort of medium-term sub-questions which is, number one, I think you've submitted this study on Lisbon. Can you share sort of what you're thinking is size of CapEx if that were to happen in the new airport? And then the second is on Gatwick, there were some reports that you may get authorization for the standby runway conversion. Can you remind us the CapEx bill and what sort of the medium-term traffic EBITDA expectation would be on that? So that was a CapEx question. I have a question on Cobra. You report, I think, the renewable generation in Cobra. Can you give us a sense how much that is and where you expect that to go given there's, I think, more stuff coming online in 2025? And then maybe a final question on working capital. So you – I think you said you had €9 billion of inflow or something like that in the last few years. I know it's a hard question, but what do you think is a sort of sustainable number? Do you think you have to give some of that back? Maybe it's not all this year, but any sort of guide on how much we – how we should think about normalization, please? Thank you.
Arnaud Palliez: A solver of questions. Okay, we've got some for Nicola with Gatwick in Lisbon.
Nicolas Notebaert: Okay. So Lisbon Airport and Anna. On the 17th of December, in line with the legal deadlines, we put forward a proposal for Lisbon Airport. As you saw, it was well received by the government and contains everything that this type of project needs to contain. So extensions regulation to give you a kind of idea of the investment, we kind of looked at that, but it's the very beginning of an order process that will take three years that contains tightening of that proposal and also the environmental concerns. We're doing everything at the right time. And the takeaway for the time being is that we are being welcomed by the government. It's far too early to give you any detailed parameters as those are going to be decided on over the next three years alongside the government there. We do have protections based on this type of project and also the fact that its being well received means that we're pretty confident that in the next three years, we will reach common ground once we get environmental authorizations. As to Gatwick, as you know, the British government at the moment has recognized the relevance of accelerating growth through increasing air traffic capacity around London. It's actually the busiest one in the world, if you take all the airports together, and in the short-term we have put forward a project to improve the taxi way of the north runway at Gatwick. Again, it's too early because the first step is to look at a short-term suggestion and whether the government even approves it and then whether there will be an investment program to follow up on that. So for the time being, we're waiting for authorization from the British government based on our overall proposal for Gatwick. You mean soon first semester, maybe this month, but maybe a little bit later, but this year. But it won't be the end, right, because there are all sorts of steps that need to be overcome after that. I'll let Christian finally answer that last question.
Christian Labeyrie: On investments in 2025, honestly, it's a little bit difficult to tell you. But what we can tell you right now, investment in renewables at Cobra and also at VINCI Autoroute and VINCI Airport. Because as a reminder, and we say this a lot, the renewable energy potential produced on land around our assets, so airports and motorways is about a 2 gigawatt total. That's not negligible. So we're pushing forward on that. It's not a huge amount of money, 1.5 gigawatts per year for Cobra. That's about €1 billion in investment. That's pretty easy to model. Next, you have acquisitions of VINCI Concession and the rest of VINCI entities. Basically, you just take the past year and extrapolate that forward. We don't really know what's going to be targeted, but the amounts are going to remain pretty stable. The big one here is motorways and airports, and that's going to depend on the opportunities as they arise. There are some, but I won't tell you where they are. I'll keep that to myself. Thank you very much.
Arnaud Palliez: [Indiscernible]
Unidentified Analyst: And I have three questions. One on the data center, so to come back to this. Just curious because, as you know, many companies are rushing to develop data centers and also as an investor, you seem more cautious. So I'm just curious to know why? Second question on Group EDP privatization seems completely out of the agenda, the political end at the moment. Could you come back in your view? And third question, a bit more on the Q4 results. The revenue in Energy Services in France was only marginally up year-on-year, like-for-like maybe 0% to 1%. Why – what was the slowdown? And what respect in 2025 for France specifically? Thank you very much.
Xavier Huillard: Would you answer – let's finish up the previous question as well, Christian.
Christian Labeyrie: So normalizing WCR makes sense. Can you hear me?
Xavier Huillard: Yes.
Christian Labeyrie: Okay. Yes. So the idea of normalizing WCR doesn't make much sense for VINCI, which is a company that's always changing, always shifting around projects, around strategies, depending on whether we have a large volume of major contracts or honestly, it wouldn't make much sense from my perspective to try and predict WCR more than a couple of months out. So model based on zero variation and we'll see what happens. So we took in €500 million to €600 million extra in December that could have come in, in January this year, and that completely changes the end of the year. So it doesn't really make sense to talk about normalizing WCR and to waste too much time on that.
Xavier Huillard: Okay. Thank you very much, Chris. On data centers, now I'm not sure I was clear on this, but we're not being conservative when it comes to building data centers, design and built or creating fields of renewable energy production that will feed those data centers. However, we're conservative in the sense that we're not doing it at all when it comes to investing ourselves in data centers. And the question was why? Well, I see this similar to when we had lots of fiber optic network programs that were being launched around France. We created a company called Covage that we ended up selling off. And the reason for that is when you're an operator and an investor on that type of asset you need to have a full understanding of the final offtake. You need to know who's going to use it at the end of the day, you need to understand them. We are not claiming to have any in-depth understanding of the needs and in fact, the changes of the needs of that final offtake, especially when it comes to AI. Therefore, my concern is that if we invest, we would be investing in design of a data center at any given time. And by the time we've built it and plugged it in, we might end up seeing that people don't want it anymore because the needs have changed. And what we designed and built actually doesn't fit demand in the market anymore because we are not part of that world. We are not the kind of people extensively using data centers. That's the main reason. On the second question, I didn't quite understand privatization. ADP, okay. ADP is not – honestly, we're not really looking at it very closely. Nothing is going to happen for ADP by 2027, at least. In my opinion, there might be something after that, but I kind of doubt it. In the more medium term, maybe. But ADP, honestly, is not on our radar at all. Our bandwidth is going to other things than looking at something that has no chance to happen in any reasonable time frame. As to the Q4 results, I wasn't sure.
Christian Labeyrie: He was wondering if there was a slowdown in VINCI Energies, especially in France and more specifically changes in France, as I understand. Well growth and the order book has been so high in 2023. It was never going to continue that way. We always said that growth is going to slow down and growth is indeed slowing down, but it's still growth.
Xavier Huillard: Yes, there are some differences between France and abroad. But the outlook is still good with growth going up across businesses. As to Cobra, Cobra as I said earlier, Cobra is very well positioned in Spain, which has been very dynamic and should remain dynamic in 2025. and Cobra is also working on major projects, including some assets that are absolutely necessary to develop offshore wind farms for which we're not investors, but we do provide things like AC/DC converters, which are huge, big machines that cost a lot of money. And Cobra is one of the world's top specialist.
Unidentified Analyst: Okay. Thank you.
Arnaud Palliez: So, no further questions in English, but we do have a question from Nicolas in French – he's woken up. Is this still on the line or have you already answered this question? Let's see if he still wants to answer his question. Nicolas Mora put your question please. Press star one on your telephone. Nicolas from Morgan Stanely over to you.
Nicolas Mora: Hi, I do in French, my English is a bit shaky. Just pick up for a moment on renewables. We continue to have a sense that – you're not going full out all out, as you said. Do you still have doubts about long-term yields or is it really going to accelerate as a 2025, 2026, because the CapEx thus far is a bit below what we had in mind. So, first question on renewable power. On M&A, you continue to do a lot of small M&A deals, construction, energy, small stakes and concessions. We have a sense that pipelines drying up. Can you confirm that there are still sizable projects coming down the pipe in 2025, 2026, 2027? Are you going to stick to small deals that create value, but don't really move the dial?
Xavier Huillard: That's rather unkind, isn’t it? Don't you think? ENR, we're doing precisely what we said we'd do. We said two things that we feel capable at 1.5 gigawatts. For the time being that suits is fine. There'll be ample time when we're well established on that trend to ramp up the dose by doing more than 1.5 gigawatts. So we're precisely spot on the road map that we indicated when we acquired Cobra, 2 gigawatts of VINCI Airport and auto on the small deals, depends what you call small deals, Fernao is hyper strategic. It's what, €250 million to €280 million in revenue. Next, the two deals we did in the Netherlands. Electrical Engineering on vessels, be the military or civilian hyper strategic. The current business is that's what the price tag on that is 160 [ph]. Is it small, medium, take your pick? So that means that if you – every year, you do €740 million additional revenue full year through. Okay, 34 different transactions, which was the case of VINCI Energy in 2024. Well, it's safer to do it, as I've mentioned, rather than doing it through a mega deal of €3 billion in revenue that you'll complete every two or three years. Yes, stands to reasons. So all that contributes greatly to the revenue flow. And you can't really be pejorative about small or medium-sized deals. When there are bigger deals, we can do bigger deals. In a remote history, we did Cegelec, Imtech that allowed us placed us in the ICT business, Cobra, which was our biggest deal. We do some from time type in the meantime. Well, we do the small ones, as you say. And on concessions. Yes, go on go for it.
Nicolas Notebaert: No, I was going to say on energy the small deals, small is beautiful, right, but concessions after a start of the year 2024 that was super busy we integrate, we integrate – withdraw dividends. I mean have you still got some in-store for other deals. We see nothing in the pipeline. On concessions, as you said, I think we did at €7 billion, €6.8 billion in 2024, one of the biggest years after 2006 ASF, 2013 and Gatwick. So 2024, a mega year for Concessions were above our plan. Edinburgh, Budapest, Denver because we saw these were dynamic assets, and we contributed as Xavier said, through good grid connection. So a big year 2024 for the what specific concession is, by definition, unpredictable three factors, private deals that, by nature, we can't disclose funds when they sell don't disclose public tenders or public privatization approaches that random in nature and very short lead time.
Xavier Huillard: So, we never have a predetermined pipe. We wouldn't have been able to tell you 12 months before that we do Edinburgh, Budapest or Denver. So unfortunately, it's very difficult to structure the pipe. It varies. There are years we have €6.8 billion, three deals at the same time, years when there's less. But overall, we're doing some major acquisitions in Concessions and will continue because the market sufficiently deep to allow us to do that. But it doesn't always happen regularly across successive years. A good example was up Budapest, they came looking for us. That's notable. That's to say the renowned and quality of service of VINCI Airport was known that such that it was the Hungarian said, "Hey, would you like to look after our airport.
Arnaud Palliez: Okay. Ladies and gentlemen, thank you for your kind attention.